Operator: Good morning. My name is Melissa, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speakers remarks' there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Watson, you may begin.
Nolan Watson: Thank you, Melissa. Good morning everyone and thank you for calling into this Sandstorm's 2018 year end call. This morning as usual Erfan is going to walk us through the Q4 annual results and Awram will provide a brief update on a few assets and then we'll turn it over to the operator for question-and-answer period. And if has a questions that doesn't necessarily need to be part of the live Q&A, please feel free to ask it through the web portal and we'll ensure that each and every question we get there will get a direct response after this call. But before we do all that, I would like to provide a brief business update about our share buyback plan. At this time, we'll begin walking through the prepared PowerPoint presentation on the web portal so if you're able to do so, please turn your attention there now. From a high level perspective it's easy to give a corporate update on the business because things are quite simple these days. Sandstorm portfolio streams in royalties is performing well. 2018 was a year record. We sold 57,600 ounces of gold, our ninth year of consecutive sales records. We had $73 million in annual revenue which is also a record. And we also had a record in the amount of exploration done on our royalty properties with 715,000 meters drilled. As important as all these metrics we're anticipating 2019 will also be a year of records with Cerro Moro the Silver stream starting new quarter and the Aurizona royalty from Equinox starting in the next couple of months. In addition, we've been working hard to complete new acquisitions with no dilution and are pleased to recently announce our acquisition of 0.9% NSR on lending gold Fruta del Norte mine for $33 million. This mine is a world class mine that's currently under construction and is already approximately 50% built. In keeping with our publicly saving strategy focusing on assets that are within 12 to 24 months of production. We expect to receive cash flow from this in the near term and lending gold is publicly stated as they anticipated first gold pour by the end of this year. We're also pleased that this royalty is on a mine that has significant amount of expiration upside and the royalty covers over 640 square kilometers of ground. We'll continue to endeavor to find acquisitions that we can make, provide near term cash flow with expiration upside and no dilution in sales from shareholders. Speaking of dilution or I guess the opposite of dilution which is share buybacks. Perhaps the number one source of questions from our investors over the past several months relates to the normal course issuer bid and our plan to continue buying back shares. Shareholders are asking questions such as how many shares, how we bought back. They're asking questions like, how we've been buying back shares in the last month during the share price went up by E [ph] because our share price is going up because we're pushing the share price upward because of market conditions and they're asking questions like now that our share price has increased, do we still plan on repurchasing the 18.3 million shares. I'll try to answer all of these questions now. So in total, since we announced last fall our intention to repurchase 18.3 million shares. We've successfully repurchased 4.65 million shares leaving 13.65 million shares remaining to be purchased by us. It is important to note, that due to a trading blackout that we've been in for nearly a month because of our annual financial statements. We have not purchased any shares in several weeks. Therefore this run up in our share prices had nothing to do with share buyback because we've not been purchasing any shares in the last month. The increase in price therefore been entirely market driven. This blackout will be lifting starting tomorrow and we'll be able to begin repurchasing shares. When we originally announced our plan to repurchase 18.3 million shares, our share price was materially lower than where it is today and there are two important things that we noted at that time, that I believe are worth reiterating here. The first is that we committed to our shareholders that we will not repurchase shares if the price is above what we believe our net asset value per share to be. The second thing we noted was that we wanted to repurchase our shares with cash flow from operations only and we did not want to add to our debt for share repurchases. With respect to the first issue of ensuring we only repurchase shares below NAV. We do not publicly state, what we believe our NAV is because of Securities laws and because we're continually recalculating and re-estimating that figure. But it is an important number for us because we have many opportunities to buy new royalties at or below the NAV. So it will only make sense for us to purchase our shares so we can do it below NAV otherwise it would make more sense to either purchase in royalties or pay dividend in both. Today, we believe our share price is still below its inherent NAV per share. Therefore, it's still our intent to continue to purchase shares on the open market at today's prices. With respect to the second issue of ensuring we only use cash flow from operations to repurchase share. We have a bit of what I like to call a champagne problem. Which is, that our share price has gone up so much that our cash flow from operations that we expect from 2019, is no longer enough cash flow to repurchase the remaining 13.65 million shares this year? And therefore, we will require some of the cash flow from the beginning of 2020 in order to complete the repurchase of the full 18.3 million shares. I want to be clear, we still want to repurchase the full 18.3 million shares and it is our plan to continue to purchase shares in the open market. The only caveat is that at today's higher share price that will simply take a bit more time. This topic is, one that is very important to me, as I know it is important to our other shareholders and therefore I'll commit to being continuously open and detailed with respect to our share repurchase progress and our plans going forward. For those of you who've been Sandstorm shareholder since the beginning, you may note that this is our 10th annual conference call. It's amazing for me to see that over the last decade we've taken a company that has no employees, no cash, no assets. And turned it into a world class royalty company with 187 royalties, $1.3 billion market cap and we've increased our share price nearly 300% over that period. Which is a period in which over 90% precious metals companies saw their share prices declined? In addition, we've now moved the company to a phase of its life. We were able to continue to grow the company without dilution. So with the quality asset base that we've built along with the quality team assembled. I'm excited to see what we can do in the next 10 years. So with that, I'm going to hand it over to Erfan to discuss the quarterly and annual results. Erfan?
Erfan Kazemi: Great thanks, Nolan. Hello to all of you shareholders and to respective investors who're listening in today. We appreciate you taking the time to join us and I'm pleased to speak to you about another record breaking year that we had in 2018. I have a few slides to go along with my portion of the conference call. And to begin, I thought it would be interesting display chart of Sandstorm gold equivalent ounces going back to 2010. For those of you without access to the slides, these bar charts that I'm referring shows a very nice growth trend since we initially began receiving gold ounces from our royalty and streams that we acquired back in 2009. Since that time, we've had steady, consistent, incremental year-over-year growth in attributable ounces sold from our royalties and stream. We expect this trend to continue in the years ahead before we treated to some explosive growth that will come from a production start at Hod Moden and some other assets that are currently in the development stage. I'm also proud to say that we've met our stated guidance this year and actually we had each and every year since early days of the company. For those of you, who may not be familiar with our guidance practices? What we like to do is start the year with relatively wide guidance span and then as we complete each quarter we tend to narrow the guidance range. For 2019 in particular, we're forecasting 63,000 to 73,000 gold equivalent ounces sold which represents about 10% to 25% growth from what we brought in during 2018. That's not too shabby. But that explosive growth that I was referring to, well by 2023 we're projecting over 140,000 gold equivalent ounces between - Sandstorm. This impressive growth profile is based on royalty assets that we've already bought and paid for and assumes that we require no new royalties between now and then. Now, spend some time digging into the highlights from the fourth quarter and the full year results from 2018. Staying on the topic of the gold equivalent ounce deliveries and sold during 2018. We've broken out the top 10 contributors by mine on the next slide. And number of the mines that we completed deals on years ago, should have been off this list by now, but it has had actual exploration success and are producing far beyond the mine life that was originally anticipated. Kudos to our technical team and their ability to evaluate outside potential. You'll notice on the chart, that the Santa Elena mine in Mexico came out on top followed by Chapada mine in Brazil. The Karma mine [technical difficulty] mining, the amount of gold in first majestic silver. It was really the increases from these top four contributors as well as the addition of Hounde at the beginning of 2018 that led to a record year. We did have some declines from our basket of royalties when compared to 2017. But overall this chart demonstrates how nicely diversified our portfolio has become and the diversification benefit have more than offset the underperforming assets during 2018. It's also worth noting, that the majority of our equivalent ounces are coming from stable jurisdictions. For example, from the top 10 contributors listed here 55% of the ounces sold came from North America with the majority being here in Canada. 23% of the ounces were delivered from mines in South America and about 22% came from Africa. So how did that translate into revenue? Well on Slide 9, you can see that we posted a record of $73.2 million in revenue about 7% higher than in 2017. This chart also nicely illustrates that steady incremental growth that I was talking about earlier. We strung the average realized gold price per ounce over these bar charts and you can see that there is not been a great deal of variance in average gold price during the last four years. The average realized price was slightly higher than last year at $1,269 and our average cash cost per ounce during 2018 was $278. So our average operating margin per ounce during the year ended up being about $990. Moving onto a few comments about reported cash flow net income. We posted $48.1 million in operating cash flow excluding changes in working capital over the 12 months of 2018 compared to $44 million in 2017. That cash flow enabled us to add to royalty portfolio and buyback millions of share during the year. Our net income was lower than 2017 at $5.9 million and the difference was due to a number of non-recurring gains that were reported in 2017. The difference in net income was also a function of smaller gains recognized on the re-evaluation of our equity and debt investment as well as decreases in things like deferred income tax spend and depletion expense and alike. I'd like to touch on the quarterly results from 2018 briefly as well. Let's start by using the chart on Slide 11, the attributable gold equivalent ounces sold quarter-over-quarter were really quite consistent as you can see on the chart. The difference between the highest total in Q1 and the lowest in Q4 was only 3%. Revenue moved around slightly namely based on commodity price. It's nice to see, that the price of gold off to a good start in 2019. So I think is, part of the reason why Sandstorm share prices are performing well. But ultimately the bigger reason why our share prices have been trending upwards is that the investment community is starting to recognize the value of our royalty portfolio. I'm quite happy that we're able to buyback many shares that we did at such low prices during the year. Based on the inherent value that we believe in our royalty portfolio is not a complicated cash flow allocation decision to make. I'll now point to you Slide 12, where we have the summary of our fourth quarter financial results for both 2018 and 2017. I'll highlight that the cash flow from operations excluding changes in working capital and net income figures were higher in 2018 at $10.9 million and $2.7 million respectively. There was nothing particularly noteworthy about the increase in cash flow which was driven by additional royalty revenue that came from the Hounde royalty. But as far as that income is concerned, the main difference between the 2018 and 2017 years was an impairment charge that occurred in 2017 that does not re-incur in 2018. To end my remarks, I thought I will pull the available capital slide from our investor presentation. I like this slide because it gives you a sense of how much fire power we have in terms of incoming cash flow and credit capacity. Last section on the bottom of the chart represents our accumulating cash flow from operations and the grey section is our $225 million credit facility. At present, we have less than $40 million in net debt after closing the Fruta del Norte transaction. But that won't hamper our corporate activity a bit and we expect to continue making acquisitions and buying back shares this year. It's also worth noting that our debt and equity investments are currently valued at about $65 million and like we've done, for the last two years we look forward to monetizing some of these assets in order to fund our corporate development efforts. All right, that's it from me. It was a good quarter, a record year and we're excited for what's about to come as we continue to execute on our growth plan. Dave I'll pass it over to you.
Dave Awram: Great, thanks Erfan. So for this quarter asset update. I thought I would touch both on our newest acquisition Fruta del Norte but also Aurizona. But first I'll speak to a slide, in our investor presentation deck. It helps illustrate the exploration upside that we try to capture in every deal here at Sandstorm. As Nolan and I've described in investor meetings. We firmly believe that the upside value in every good streaming and royalty deal is the exploration potential. The one thing that I've learned in this industry is that you can't get exploration upside if you don't get any drills turning. Slide 15 of our presentation, attempts to graphically demonstrate how the drills have been turning for Sandstorm's portfolio over the last eight or nine years. Each of these columns shows the amount of drilling incurred on our properties for each of those years. as you can see, in the last four years we've gone from less than 21,000 meters of drilling to over 200,000 meters of drilling in 2014 over 500,000 meters of drilling in 2016 and 2017 and now over 700,000 meters of drilling in 2018. That is what we're looking for in our deals and we get rewards for chasing after transactions that are getting the exploration drilling they deserve and these are not just exploration projects either. Hounde, Cerro Moro, Chapada, new Aurizona are amongst all of the top drilled projects in our portfolio. Many of these mines are taking drilling in 2017 and 2018 and translating that into reserves to be mined in just the next few years at already producing mines. For us that is the best value that we can provide to our shareholders and we're very proud that our portfolio has demonstrated this very valuable characteristics of space [ph]. Now onto Aurizona, of course big part of our growth and production next year as we reopen Aurizona by Equinox Gold. Last quarter I did a quick update on the great drilling results Equinox had on the projects. But this quarter we'll focus bit more on the progress towards production at the mine. Right now, Equinox is working on commission in Q1 with the goal of achieving commercial production at or just after the end of that same quarter. They expect to expand maintenance [ph] facilities this year and also complete a preliminary assessment on a potential underground mine in the future. New resource is expected based on the large amount of successful drilling at 2017 and 2018 and of course more exploration at the prolific Tatajuba target and other funded property. Now coming back again to the first part of my discussion today focused on exploration upside. I'll speak to our latest acquisition in Fruta del Norte. We feel Fruta is in a similar position to where Hounde was, a little bit over a year ago, that's about to go into production. But has yet has a large land package that has yet to see much drilling outside of the original deposit. There's been very little drilling since [indiscernible] selling the asset and little since Lundin has begun construction. However like Hounde, Fruta del Norte has many perspective areas that will get the attention they deserve in the coming years as mine have been running. Luckily for us, the getting up and running part is coming along great. just yesterday Lundin released further information on how construction is going. Overall engineering is 85% complete, with 70% of project CapEx committed. Underground development is ahead of targets with both declines reaching the ore body development of the primary levels has begun. As work started, three quarters complete and the process plant is getting started with most of the foundation poured and some of the structures are being assembled. The power line is started with 27% of the infrastructure completed at the end of 2018. Lundin remains on track for production on for first goal pouring in Q4, 2019. We have great confidence in Ron Hochstein and his team will be able to achieve their goal in 2019. And so with that, I'll pass over to the operator Melissa to begin the Q&A session.
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Mark Johnson with Optum [ph] Investments. Please proceed with your question.
Unidentified Analyst: Glad to see the momentum turnaround for you. Just a question for you, anecdotally. The drilling process complete a book while back on fracing of oil in the shale etc. Just wondered really what's happening technology wise, is that a benefit to you guys and some of these projects, is there a greater technology that's been brought into drilling process, is that still a [indiscernible] what's happening in that regard?
Dave Awram: Hi Mark, it's Dave here. In general, the drilling process for us is focused really on the discovery and looking for new projects and really trying to use some evaluating. In general it doesn't change that much, there's a few little things here and there that help out. but if your rock is fairly confident, if you're getting decent recoveries. You typically really just use your RC or reverse circulation drilling or you end up doing your diamond drilling which gives you a little bit more structural information. So for the most part, it's been pretty successful just using that technology. I think really the broader base really helped technology - hopefully will increase efficiencies in the industry. It's really more on that production side. There's been a lot of changes in automation. There's been a lot of changes in a couple of different new sorts of mining methods that are being tried out. for the most part though, we here at Sandstorm when we're looking at our investments and choosing our investments we're looking for relatively well established methods, we're looking for fairly conservative types of deals and transactions that are using well understood method. So for us it's - we don't really kind of stretch beyond the boundaries of our comfort zone of what we're familiar with.
Unidentified Analyst: Great. super. Thank you. Lot of activity to - some of the consolidation in the industry.
Nolan Watson: Yes, definitely it's a theme that we think will continue going forward.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Don McLean with Paradigm Capital Group. Please proceed with your question.
Don McLean: I know we've talked about a number of things before. One question was on the - monetizing certain of the assets to fund the buyback. Can we get a little more specific on that? and then I was also going to ask for an update on Hod Maden?
Dave Awram: Yes, so just to correct. I don't think we'll be monetizing any assets to fund the buyback. We're going to focus on the buyback with cash flow from operations and so we'll use 2019 cash flow and as I mentioned, that we'll probably use at the beginning part of 2020 cash flow to complete the buyback depending on what our share price does between now and then. And I think Erfan made reference to monetizing some of those assets to our corporate development efforts, so buying new royalties in new streams.
Don McLean: Nice to see you chasing rise and peak [ph].
Dave Awram: The problem [indiscernible].
Don McLean: Yes. Just on the Hod Maden, maybe Dave can you talk a bit about the timing of key milestones ahead and then, Nolan maybe you could answer a question that get asked every time I talk about, Sandstorm which is, is there progress on the path towards conversion to a royalty?
Dave Awram: Sure, for really kind of progress on how the assets are developing. I think it's in a good spot right now. Some of the key milestones is really focusing on the EIA process which is a vital and important part of the permitting process, so that's well underway. They've done an update [indiscernible] testing that all was completed over a year ago and have submitted partly through that process of submitting the EIA and getting it completed. So that's an important part. The team there at Lidya and Artvin has begun the process of really starting that piece of - there was a couple of key trade off studies, that we're going to have to first, but the Feasibility should be awarded soon, but a lot of work that would go into the feasibility study testing and further studies have begun already by that Artvin team. 2019 should be an important year in terms of really seeing some of that first early works including infrastructure builds and starting to get portal, getting into decline. So that's something that the Artvin and Lidya is looking at very closely to trying to complete in 2019. So it's been good progress we think. We still think the timeline is intact as we've been outlining for the last couple of years now.
Don McLean: That would be a target in terms of feasibility completed when?
Dave Awram: Yes, so feasibility completed either probably at the beginning of next year because it's just really getting assigned right now, the tender process is being completed. But in the meantime, a lot of the permitting is getting slowed down by that process.
Nolan Watson: And with respect to the legal form of what we own, so as a refresher to everyone we own 30% profit interest in what I would say is, is we have a public policy now. I'm not discussing any conversations that we're having about potentially changing that legal form of what we own, so can't comment on that. but what I would say to investors, is making investment decision assuming that our 30% profit interest stays at 30% profit interest and that one day we wake up and surprise seeing that will be a good news thing.
Don McLean: That's fair Nolan. Maybe one last thing, Dave because we've seen Elena struggle trying to get permits sorted out. they don't have a partner. Can you maybe provide a bit of color to the facility you see that your partner has in dealing with international government obstacles and red tapes?
Nolan Watson: Well yes I mean the permitting process like in BC or Ontario jurisdictions that we're more familiar with it. There's a lot of different organizations, lot of different permits that actually need to receive, so it takes somebody who's been trained, somebody who really understand the process well and that's what we have in Lidya. They've been [indiscernible] partner in Turkey for many years now and they've been very successful at getting permits both on open-pit, heap-leach type of operations course on that. All the plays that [indiscernible] is running. We're really confident and we really believe in the process that Lidya is going through right now to get the permits, we don't see that as really at least right now we don't see it as a problem area or [indiscernible] area that might hold up the project because they have been so successful at receiving permits. On projects they're frankly much more complex and much more difficult to deal within this. There's I think 17 permits altogether need to be received on this. And with EIA process really well on track, we don't see that's going to be the holdup that some other companies, that don't have a good Turkish partner have encountered in Turkey.
Don McLean: Thanks very much guys.
Operator: [Operator Instructions]. Our next question comes from the line of John Tumazos with Very Independent Research. Please proceed with your question.
John Tumazos: When do you expect the first gold output to be at Fruta del Norte?
Dave Awram: So the first gold port they publicly disclosed is by the end of this year, but commercial production happening sometime in mid-2020. Our royalty kicks in as soon as they start pouring gold.
John Tumazos: When is the tax jurisdiction for your royalty? Is it Ecuador, Canada or something else in? What tax rate should we anticipate?
Erfan Kazemi: So it's a Canadian entity that owns the royalty and when the royalty payments get made to us from Ecuador there is about 15% withholding tax and in Canada, you get a tax credit for that and you get a depreciation tax yield in Canada as well. So we don't anticipate paying any tax other than withholding tax.
John Tumazos: What's the credit? Do you get it back in Canada?
Erfan Kazemi: You don't get it back in Canada. You just - you get credited towards what other - what Canadian income tax you otherwise would have paid in Canada, which state here Canadian tax is zero.
John Tumazos: Your last four deals or four of your last deals have been two in Burkina Faso, one in Turkey, one now in Ecuador. Do you anticipate trying to limit some of your next transactions to boring monotonous countries like Canada or the US?
Dave Awram: As we said our all along our plan is to diversify globally, but we do want to ensure we're not overly concentrated in any one jurisdiction. So Turkey for example we've got enough Turkey at risk right now, so we're focusing on others than Turkey and we've got enough Burkina Faso exposure right now so we're focusing countries outside of Burkina Faso. We are working on some transactions right now and they are of that more plan vanilla type country, other than - we're not focusing on anything material and exotic right now.
John Tumazos: Thank you.
Operator: Thank you. Our next question comes from the line of Matt Williams, Private Investor. Please proceed with your question.
Matt Williams: Just wanted to call out in regards to the buyback. I've noticed that the - certainly over the last few months the share price has risen quite nicely from the mid four's up towards $6 in recent week in US Dollar terms. All else being equal with kind of gold price in mid 1,300 call it. Is there a share price at which you would really consider pausing buybacks recognizing that making a buyback is ultimately a capital allocation choice between reducing share count and investing in kind of new growth assets? Any thoughts on that?
Erfan Kazemi: Yes as I mentioned in my preamble, one of things we've committed to our shareholders is not buying shares above what we believe the inherent net asset value price per value, per share is. And that number is something we don't publicly disclose, it's changing all the time. we update that number at least on a monthly basis, sometimes on a weekly basis depending on what's happening here at Sandstorm and we will not purchase shares above that. And as I mentioned, we believe today's share price is below that inherent value per share, so today's price will continue to operate the buyback. But if the share price were to go up very substantially and above what we believe at that moment, then that asset value per share is, we would pause the buyback and focus our capital on asset acquisitions or debt reduction or dividends or combination of those three things instead of share buybacks.
Matt Williams: Got it. Makes sense. Thanks a lot.
Operator: Thank you. This concludes our question-and-answer session. I'll turn the floor back to Mr. Watson for any final comments.
Nolan Watson: All right, thank you Melissa and thank you, everyone for calling in today's call and as normal. Please feel free to reach out to us here at Sandstorm after this call if you have any further questions. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. thank you for your participation.